Operator: Good afternoon, ladies and gentlemen and welcome to the OceanaGold 2017 First Quarter Results Webcast and Conference Call. [Operator Instructions] This call is being recorded on April 27, 5:30 pm eastern time. I would like to turn the conference over to Jeffrey Sansom. Please go ahead.
Jeffrey Sansom: Hello everyone and welcome to OceanaGold’s first quarter 2017 financial and operational results call and webcast. Thanks for joining us today. My name is Jeffrey Sansom from the Investor Relations team at OceanaGold. On the call with me today here in Melbourne are Mick Wilkes, President and CEO; Mark Chamberlain, Chief Financial Officer; Michael Holmes, Chief Operating Officer; Craig Feebrey, Executive Vice President of Exploration and Edward Sit Woon, Corporate Controller. In Vancouver we’ve Darren Klinck, Executive Vice President of Business Development and in Toronto, Sam Pazuki, Director of Investor Relations. Before we proceed, note that all references in the presentation that you are about to hear adhere to international financial reporting standards and all financial figures are denominated in U.S. dollars unless otherwise stated. Also, note that the presentation contains forward looking statements which by their very nature are subject to some degree of uncertainty. I now turn the call over to Mick Wilkes to begin the presentation.
Mick Wilkes: Thank Jeff and good morning and good evening to everybody and welcome to our first quarter presentation. I’d just like to start off by mentioning my colleague Michael Holmes and Craig Feebrey joining me today as part of the new format for Oceana to introduce the market to more of the executives within the company. So we hope to get to know more of the team as time progresses. So welcome Michael and Craig. We had a very strong quarter moving to page number four, we had a very strong quarter of production, a good start to the year almost 150,000 ounces produced and 114,000 ounces sold. The 150,000 ounces includes 20,000 ounces approximately production at Haile and sales not recorded in the Haile gold mine sales not recorded in biggest operations. Revenue $162 million and EBITDA record for the company is $101 million leading to a net profit a statutory profit of $36 million for the quarter still quite healthy even after $17.7 million impairment due to the events in El Salvador we have taken that impairment but before impairment we had a net profit of $53.7 million. Cash in the bank over $70 million and net debt of $262 million so still a strong balance sheet and a good position for growth which we are progressing at tight the commissioning of Haile is going well. I will talk a bit more about that and of course very extensions exploration program and engineering studies to advance in organic growth opportunities particularly at Haile and at Waihi. Moving to page five, some break down there compared to the previous quarter, production up 44%, copper production up 58%, All-in sustaining cost down 18% to 521 which is below our guidance for the full year. So that's a good start. And the main contributor as you can see on the right hand side in the graph the Didipio had an exceptional quarter up 32,000 ounces this quarter and obviously Haile with the startup they added to the production of 148,000 ounces for the quarter. Page number six, just highlighting the very strong business that we running EBITDA margin exceptional over 60%, but it continued consistent strong positive performance in EBITDA margin and in also return on invested capital. We have been able to have a positive return on invested capital for the last seven years and it's forecasted, close to 19% this year. Moving on to safety we have had an increased focused on safety, heading back in the right direction. We have we are still relatively performing relatively well in this area but we would always like to do better. We have increased the engagement of the senior leadership team 101 safety engagement observations and workplace inspections and what we call the gold standard. This is designed to improve behaviors across their workforce and we are also enhancing investigations to learn more about the major hazards in our business and of course integrating system across whole company. So there is a big push on safety within the business at the moment to get us heading back in the right direction. Moving on to higher on page number eight, and I’m pleased to say that commissioning is progressing very well. We are still on track for hitting commercial production this quarter. We did produce just over 20,000 ounces, 20798 ounces and I think the gold sales for the quarter was around a bit 12,000 ounces. The operation is now being run by – so the process plan is now being run by the operations team and all construction is complete and commissioning team has handed over that moved, there are few people on the site just assisting the operations with the ramp up. We have outlined there the major criteria for assessment of commercial production and most of those have been met we are looking now at cost and recovery and throughput measures and looking for stability in the circuit before we announce commercial production. All things continued, it's going as planned. And on page number nine, we can see the graph showing the ramp up in a comparison with the successful ramp up at the Didipio in terms of the same mining pipe throughput you see that we hit the 80% of throughput in the process plan. Recovery is in line with plan. We are fine tuning the circuit to continue to increase throughput and we should be announcing commercial production in the next month or two. So that's all going well and look forward to further update to over the next couple of months. The page number ten, just the quick comment about the mining. It's ahead of plan. The picture you can see on page number ten is picture of the open pit where it moves on, where we do have the majority of the basin that all – that pit is in all and as a result we have moved over to the next pit to commence the stripping. There are plenty of stockpile that could grade ready for processing. The optimization study which is nearing completion is on track to be released in the next couple of months in the middle of this year and we will be able to update the market on resources and reserves from the optimization study and revised production profile you should be very pleased with. I will now hand over to Michael Holmes, Chief Operating Office to give you an update on our operations. Thanks Michael.
Michael Holmes: Thanks Mick and good morning, good evening to everybody. As Mick has noted so on slide 11, with the Didipio operations, as been noted we had a record quarter at the Didipio producing 63,748 ounces of gold and 5,955 tons of copper. And that's been based on the high-grade out of the pit at 2.1 grams per ton gold and 62% copper due to the mining from the bottom of the pit. It's also been based on the increased mill throughput of 1.01 million tons for the quarter and that's as a result of the softer high-grade or being fed from the section of the bottom of the pit and there has been no extended plant maintenance this quarter as has happened in the previous quarter last year and this is result of an all-in sustaining costs for the quarter of negative $105 per ounce sold from the gold sales. Heading on to the next slide, we are transitioning into the underground mine with the completion of the Didipio open pit during quarter two 2017. At the time of completion of the open pit, we will have 24 million tons of ore stockpile on the surface stockpiles at the grade of 0.5 whole grams of gold and 0.37% copper average grade. The underground transitioning will continue with the mining of the [indiscernible] and the access to the safe mining blocks and the first open expected to be purchased by the end of this year 2017 and into 2017 onward when we look at the graph on the right hand side you can see the transition from the open pit all with the bottom blow to the darker brown areas and then increase in throughput from the underground over the next three years getting up to 1.6 million tons per gram. It's expected that the production from gold production profile from the Didipio will be stronger in the first half compared with the second half with quarter four being the weakest quarter. Moving on to the next slide, slide 13, just an update with Philippines and the operation is continuing we are still receiving some global CIS awards, the summer awards where you get to receive the top award for the best work practices and second place for the environment excellence and third place for best community programs. So that was very humbling to receive those awards. During the process of the quarter, the PU process with the government and the Department of Environment and Natural Resources continued where we submitted documentation within the 30 day time frame to the office of the president which time we are waiting for the office and the president to review those documents and make their decisions. During which the mining industry coordinating council has been mandated to review [indiscernible] suspension orders and that has been committed to complete this review within three months of the first of April 2017. And other exciting opportunity and certainly for us is that following the awarding of the presidential award last year we had been nominated to represent Philippines by the mines and geosciences bureau for the best mineral processing plant at the first ever [ICM] mineral award as well. So looking forward to attending that event. Moving on to the next slide, slide 14, the Waihi operations overview. The gold production for the quarter was down at 25,860 ounces with the increase in all-in sustaining cost and that's due to some extended maintenance of the equipment that we had and some shed on mining blocks as well as some increased ore waste, increased waste development from development drives which you can see there on the table on the right hand side. The focus for Waihi continues with the mining Correnso daybreak in Christina veins and the program looking at advance in the market project in the exploration programs which will be discussed by Craig Feebrey continues. We will look at the next slide, which is the Macraes slide 15, which is the Macraes operations overview. Again production was in line with expectations at 38550 ounces which is down a bit on the previous quarter. All-in sustaining costs are on the up in the previous quarter. Production from the mine in the open pit was decreased due to some mill feed from some plant maintenance that we had through the year in indiscernible] shut down. We actually had got some order from the coronation pit and show some other recoveries. This is not expected to continue and we will be having a stronger second quarter and a stronger second half production expected with the commencement of the coronation or open pit mile which has been approved and commenced at the beginning before Easter. We continue with the organic exploration growth there and we have good targets which now hand over to the executive vice president of exploration Craig Feebrey to discuss. Thank you very much.
Craig Feebrey: Thanks Michael. Good morning and evening everyone. Looking at slide 15, our consolidate basis reserve standard 5 million ounces still we’re in a 180,000 tons of copper with the significant resource base in growing project pipeline is a result of increased drilling. Importantly we haven't included any changes for Haile based on the large amount of drilling we completed in 2016, which is continuing into 2017 and studies are ongoing. This work will be completed and reported around midyear as Mike mentioned. Something that I was certainly looking forward sharing with the market. Importantly exploration made significant contribution to ounce addition in placing reserve of the cranes and significantly offsetting depletion of Waihi further total resources that measured indicated and inferred increased at Waihi which reflects part of increasing appreciation of the potential for resource growth at Waihi in general and the market project in particular. Slide 16, staying with Waihi exploration continues to unlock value it is clear when we consider we continue to increase the resource base as shown here from 360,000 ounces on December 2014 to 570,000 ounces of December 2016 while maintaining our production profile approximately 300,000 ounces over the two years. Slide 17, excuse me, we continue investing in the future of Waihi through exploration as we are doing across all of our site in general. The figure shown here looking to the West highlights the Waihi mining infrastructure, in particular I would like to draw your attention to the Martha pit in Brown, the main veins of Martha Empire Royal Edward and Welcome that extend immediately below the pit that represents the Martha project. The Martha project is one million ounce exploration target so our confidence has a potential to significantly increase the life of mine and then the two exploration drives in the center of figure that extend from the day breaking infrastructure we commenced last year to effectively test and drill the Martha target. As highlighted on the right of the slide drill drive one is approximately 58% complete and we plan to drill approximately 12000 meters if not more from this location in the latter half of 2017 while the other drive will be completed towards the end of the year at which time we also hope to commence drilling from that location. Below we have planned, I am sorry, altogether we have planned over 40,000 meters of drilling in 2017 to significantly increase the resource base of Waihi and expose ourselves to the pipeline of opportunities both Brown fields and green fields. Slide 18, the Macraes is another example of where exploration continues to unlock value. The figure on the right is an aerial view of the major North South striking Macraes which is host of the ten deposits that had delivered over 4 million ounces production to-date on which we continue to make discoveries. Coronation in North to the top of the figure on the right is the latest discovery with resources approaching half a million ounces of total resource and has been brought into commissioning from discovery hall to mining in just a few short years. Keep in mind that this is new discovery after 25 years of exploration and over 4 million ounces of production to-date. We continue to drill extensions here in the first quarter of 2017 along with [indiscernible] in the top of the figure where it's more resources is being defined extensions to both coronation pit and golden point as shown on the figure to the left. Results to-date from golden point are encouraging with both good wit and grade exploration continues here testing the down deep extension to the East. In addition to these areas of the drilling the other target highlight in the figure on the right will be advanced during the year where we have also planned over 40,000 meters of drilling in 2017. I will hand over to Mark Chamberlain now.
Mark Chamberlain: Thank you Craig and good morning and good evening as well. On turning to slide page 20, the banner says it all the strong financial performance continues during this period of growth for us. Revenue was up quarter-on-quarter some 10% to 162 million. A drive is being increase in gold sales on 8% increase from the previous quarter driven by the contribution strong contribution from the Didipio and also an initial contribution from Haile some 12200 ounces. And also high gold price, 5% higher gold price. EBITDA again strong, with $102 million compared to $67 million in the previous quarter. If I take that the impact of the sale of the 2.5 million shares in GST that figure is $96.3 million. So that's driven by the higher revenue, but very pleasingly and congratulations to our operations also from having the focus on operating cost which was some 10% less than the previous quarter. Net profit the figure there $53.7 million. That is before impairment of some 17 million and that impairment relates to an investment in El Salvador which is now completed off the board. So net profit was up before the impairment some 26%. The impact was high revenue but it was also offset by the unrealized loss on the mark to market basis of our hedges in gold and oil, we saw a higher gold price and a lower oil price which impacted on that unrealized loss. At the bottom there, we see a number of the drivers. Gold price by some 5%, copper price is up 11% gold sales up and copper sales down 16 in line with the sequencing at the Didipio. Moving to the next page, which is from the cash flow statement. The operating cash flow was 52 million up from 31.6 million. To give a clear understanding of that we have taken out the working capital figures and that says that the first quarter it was 93.1 million compared to 67 million in Q4 2016 that's 39% increase in the operating cash flow. On the investing cash flow that’s down from some 100 odd million that we saw in Q4 to about 66 million as would be expected as we bring Haile into commissioning. Then lastly there was a financing cash flow of $10 million odd driven mainly by draw down of 12 million of our credit facility. Moving to slide 22, we’ve set out there our CapEx spend for the quarter, some there was 41% reduction in the CapEx spent quarter-on-quarter looking at that top total CapEx there of $83 million odd of which the biggest component clearly is Haile 47.3 million. Just note that that figure is before we have capitalized revenue on those ounces that have been sold and paid to us which was some 11.3 million. The second biggest contribution came from Didipio and that's primarily driven by the underground project there. And then Macraes and Waihi contributing about 17 million. We have got there the figures for sustained breakup there which is 7.9 million for the quarter and exploration 6.6 million for the quarter which 80% was spent at higher land Waihi. So just looking at the Waihi CapEx again the 47.3 million that included capitalized operating cost of 16 odd million we haven't included the sales revenue there on 11.3 million and we will do a final reconciliation of cost after commercial production is declared there which is expected in this quarter. Moving on to page 23 where we set out the balance sheet position. Total liquidity at the end of the first quarter was sitting at 96 million of which 70.6 million was in cash just highlight there we do have 90 odd million on marketable securities primarily in investment in JST and new legacy and undrawn facility have – we have a revolving facility of some 300 million at date of which 15 million was undrawn. That leaves us with total debt for 332 million mainly comprised of the revolving facility but also 48 million in equipment places and net debt figure of 262 million which is relatively low given the phase we are in of that completing major growth. Overall that leaves us with a net debt EBITDA of 0.8 we are very comfortable position for us. I’d like to now hand back to Mick who will talk about the catalyst for the company going forward.
Mick Wilkes: Thanks Mark and thanks Craig and Michael. So we have got some very exciting catalyst coming up this year commencing with the commercial production expected in this quarter for Haile. The ramp up of production of Haile to achieve 3 million ton by the end of this year, which as a reminder of the limited current permit and the optimization study for Haile results that of the mid as well. After which we then expect to start the permitting process to take the Haile project up to [indiscernible] 4 million tons per annum. In early June we have got the quarterly index re-balance for the [GDX], which the analyst forecast is that that will create a very strong demand for our shares at that time in later in June we have got the investor day in will be on Toronto and holding a webcast similar to what we did last year where we are able to give more detailed information on the operations the exploration and the development projects from the executive group. In early July we have got these site visits to New Zealand and see the progress that's being made particularly at Waihi mine with underground development and future production opportunities and similarly at Macraes and then of course Q2 results at the end of July. Then for Waihi that we will commence the permitting for the Martha project which is to extend the model of that at Waihi in second half of this year. So with that I will hand it back to Jeffery.
Jeffrey Sansom: Thanks Mick. At this time we will open the lines to take questions. For those of you who are waiting to ask questions will be taken through the telephone only. We will now pause for few moments while we wait the calls to queue. I will turn the call over to operator to assist you through facilitating this process.
Operator: Thank you. [Operator Instruction] Your first question comes from Michael Gray from Macquarie, Michael please go ahead.
Michael Gray: Thanks very much. And thanks for taking my question. I have got three on Haile then on Waihi. At Haile how is the geological model reconcile to-date in terms of tons grade analysis in particularly in the fresh rock?
Mick Wilkes: We look at this as being positive to-date, no surprises if anything it’s been up on the grade and tons as well but it's too early to project that forward Michael but just to suffice to say that it's been properly modeled.
Michael Gray: Okay. And what proportion of the Q1 Haile feed was oxide versus sulfide if you have that break down and what were the respected recoveries?
Mick Wilkes: I don't have the exact details on relative recoveries but its half oxide and half sulfide for the quarter. And of course we are trading on sulfide at the moment.
Michael Gray: Okay thanks for that and in terms of the commissioning optimization of process plant what are the key areas you are focused on in the second quarter and the key areas to be debottleneck?
Mick Wilkes: We are just ramping up and the key focus is continuity of the circuit, and ramping up the throughput. So we will go – we ship here about 100% of [indiscernible] for the end of the second quarter or early in the third quarter and bottlenecks appear throughout the circuit whether it’s the thickness or the fine grinding circuit or flotation circuit and they just -- there as we improve the process Michael.
Michael Gray: Okay thanks. And finally question for Craig at Waihi just can you give us an update on the status of synthesizing all the legacy data and progress and identifying new targets in particular that Correnso vein orientation which seems to be very anomalous and what role has oriented core played in trying to nail down new orientations?
Craig Feebrey: Thanks Michael. It’s an ongoing process of Waihi. There is a lot of historic information but we have brought that into our analysis and planning it obviously plays the significant role in the Martha project itself. With respect to Correnso we understand that particular oil body well oriented core is used throughout. There are no surprise, I guess or problems as we see it. Business is usual on Correnso, we’re getting into the deeper portions obviously of the deposit and are still intersecting good mineralization particularly on the northern side.
Michael Gray: Okay. Thank you very much. Appreciate this.
Operator: Thank you. Your next question comes from Michael Solinsky from Credit Suisse. Michael please go ahead.
Unidentified Analyst: Hi [indiscernible] I will speak anyway something being called a lot worse on various calls. Couple of questions from me if I please first of all the comment around the coronation impact, you said most of the impact was the [indiscernible] maintenance but it was the impact but you didn't expect to be future why not when it's going to be larger portion of your feed?
Mick Wilkes: Michael could you address that question for us please.
Michael Holmes: Certainly. It's been in combination we have got coronation [indiscernible] in this mills as well as underground as the blend through so that was the proportion of blend but also going forward will be standing up the new coronation North project. So we believe that with that blend in ore the hardness should come down.
Unidentified Analyst: Okay. Thank you. Secondly, with respect to the partial sale of the GSV investment what's it all about, I guess if I look at your balance sheet I can see how you stayed that strong but for liquidity perspective it looks like cash was getting a little bit tight, the revolver pretty fully drawn was that a liquidity driven decision or was it something else behind it and why only the partial sale?
Mick Wilkes: Yes thanks Bob. Well, look it was just an opportunity in the market whereby GSV actually entered into the GDX index in New York and [indiscernible] index and so it was liquidity event and the share price was running very hot and we decided to sail into that liquidity event out. Our strategy for GSV remains our strategy for GSV remains the same it is strategic investment for us. And it wasn't liquidity concerned on alpha, we have plenty of liquidity in the company but it was just an opportunity that it was created by the market at the time.
Unidentified Analyst: Okay. I think I understand that. So thirdly, with respect to the Martha project that won one million out some price that you are trying to extract has your thinking changed with respect to what might be extracted from [indiscernible] CapEx versus underground and or is it too early, is the drilling that we completed before we can actually see whether there is a more substantial underground opportunity perhaps leasing the permitting challenges.
Mick Wilkes: It's still right about 70% underground, 30% open pit plain. Obviously the open pit is restricted by the infrastructure and the county, so this is fairly clear as to what size that would be and the underground is being improved up from the drilling so I don't envisage anything different to what we given you before.
Unidentified Analyst: Okay. Thank you. And two more on the comment about Haile the 4 million ton permit applications, where we clear that 4 million ton there, the US tons, not metric tons are they?
Mick Wilkes: No they are metric tons.
Unidentified Analyst: They are metric tons. Okay. But the existing tons you talk about imperial tons or metric tons. I am very confused so to speak to both languages.
Mick Wilkes: No we can't speak both languages so we speak on language Michael and we it's a little bit numbers we use in metric tons for our reporting and so the capacity of Haile is 2.3 million metric tons. The permit allows us to go to 3 million metric tons and we are seeking permit to get 4 million metric tons.
Unidentified Analyst: Okay. Got it, thank you. And finally with your respect to your guidance for Didipio fund, it’s more confusing so the midpoint of expectation is 120,000 you expected more ounces in the first half than second half and you have already done more ounces in the first quarter than what's implied by mid point guidance saying that 3.5 million tons of throughput expected and you have done one of the 3.5 already. So how do we put away together the math sort of doesn't make the logical sense?
Mick Wilkes: Well, I would multiply by 4 month but we obviously producing very, very well. We will probably update going with the Didipio to the second quarter but we are tracking to exceed guidance at the Didipio. And guidance for the full year will remain the same at this time.
Unidentified Analyst: Okay. True. Well thanks very much.
Operator: Your next question comes from Jeff Killeen from CIBC. Jeff please go ahead.
Jeff Killeen: Yes good morning everyone. Thanks for the time today. Just wanted to get a sense on the general scope or the general outlook for this year. It seems to have change from where you were at the end of Q4, I believe at the end of Q4 you have put your outlook that you would expect the second half of the production to be higher than the first half and that Q3 would be the strongest quarter. Now we are seeing today it seems like that's changed to be more of a flat profile over the year. So wondering is this exclusively driven by change in plan at the Didipio? And secondly to that I am getting the sense that your consciously speeding up the open pit at Didipio is that true to say?
Mick Wilkes: We had planned to spread out production at the Didipio throughout the year but given the events that with preferentially traded high grade from the open pit and just showing what potential that operation has. And of course, with the open pit shutting down this quarter we are not going to see the same levels of production in the second half of the year. It does however bode well for the stuff of underground you see the similar grade coming through from the underground mine in 2018 and then very strongly in 2019 and beyond. So it is an indication of what we can expect in years to come or be it somewhat lumpy.
Jeff Killeen: Okay. So would you be able to give us a bit more clarity on the second half then from the Didipio? You did give us the stockpile numbers in terms of the absolute numbers I think the grade is just around the half a gram a ton is that type of grade we should expect in the second half or do you think there will be sort of a slow taper down from where we are in Q2 towards that number in 2018?
Mick Wilkes: I think a taper would be volunteered, but rather to say that guidance until the end of this quarter.
Jeff Killeen: Okay. Great then. In terms of switching to Waihi I apologize if I missed this but the equipment issues that you had in Q1 have those effectively been worked out and if not is there any other incremental spend that you see associated with that?
Mick Wilkes: Equipment is related to loader availability we did have a loader that was buried in stone which was recovered and is now repaired so we expect that to come then and we are sending one of their largest [indiscernible] from the Didipio down to as a backup at Waihi that's the work in progress.
Jeff Killeen: Okay. Then lastly from me I believe in the fourth quarter there was the $8 million payment that you required to make in El Salvador. I just wasn't sure if that had actually been made yet or is that something yet to come?
Mick Wilkes: We are following the process for the amortization and we are just in discussions with the government now to make that payment in the near future.
Jeff Killeen: Okay great and then apologies one more from me just in terms of the outstanding balance on the revolver. What are your plans for what that balance would look like over the course of this year stay flat through Q2 and then start to be repaid through the second half, any insight there?
Mick Wilkes: The revolver reduces from 300 million to 200 at the end of the year. So that's effectively from $82 million repayment during the year and the cash flow looks good to do that.
Jeff Killeen: Okay, great. Thanks very much for your time. That's it from me.
Mick Wilkes: Thanks Jeff.
Operator: Thank you. Your next question comes from Chris Thompson from Raymond James. Chris please go ahead.
Chris Thompson: Yes. Thanks guys. Thanks for taking my question. I have got a couple of questions here I want to start off with Haile first of all and apologies if I missed it could you give me just the tons and the grade that you processed at Haile just to deliver the production that you acquired?
Mick Wilkes: We haven't provided the tons and the grade for the quarter at Haile because we are in the commissioning process. But it is in line, so we’ve hit 80% throughput in, so 80% of -- work it out from that graph and grade is in line with plant somewhere between 2.5 and 3 grams.
Chris Thompson: Okay. Thanks for that 
Mick Wilkes: 80% throughput in March which I don't know what is that in numbers but 2.3 to [indiscernible] 80%.
Chris Thompson: Alright. Just obviously you are ahead of plan I guess by way of your mining, you are obviously transitioning over right now to the snake pit can we anticipate an adjustment in the open pit mine plan based on this?
Mick Wilkes: No. I don't anticipate that today because yes it's just an opportunity to keep the trucks busy getting ahead of the game on the pre-strip at the snake pit and giving a alternative all source earlier in the pit which help us with that production profile.
Chris Thompson: Okay. Thanks for that and just apologies I might have missed it but how much of the initial CapEx is being spent to-date at Haile?
Mick Wilkes: All of it been committed there is about 10 million of cash to be paid this quarter to finalize that contracts.
Chris Thompson: Alright. Perfect. Thanks. And just moving on quickly to Didipio you guys released some pretty impressive exploration results about a month ago from the deep drilling there. Can you give us a sense of how that compared with your block models?
Mick Wilkes: I will let Craig into that. Craig.
Craig Feebrey: Yes thank you. Chris. The drilling is ongoing there with drilling or we did drilled 3 holes per extent to test the extensions under the current mine plan, in the press release we intersected mineralization in those holes. The other drilling is going on from the underground development. We have three rigs drilling there and they are all drilling or getting results that compare very well with the block model so no surprises. That is variable but it's in line with our expectations.
Chris Thompson: Okay. Thanks and then finally just Waihi, final question guys just you mentioned that you are stopping I guess at daybreak right now. And you are producing from Correnso, can you give us a sense of when we can see first production from Empire and Christina and how should we model I guess the production as component of not fit for these deposits?
Mick Wilkes: Michael would you like to answer that question?
Michael Holmes: Yes certainly. We are still I suppose with the extensions of the old bodies haven't sort of met the end of the old bodies in the low levels and the way that we actually produced from the stapes is sort of from the outside bottom up until we actually sort of meet those extremities then we won't be starting that but that will then be replaced by some of the stocking blocks that we are doing in Correnso.
Chris Thompson: Okay. Alright guys. Thank again. Thanks for answering my questions.
Operator: Thank you. Your next question comes from Geordie Mark from Haywood Securities. Geordie, please go ahead.
Geordie Mark: Yes morning. Just maybe perhaps to good quarter, fantastic performance to Didipio and then other mines maybe perhaps deliver a point at the Didipio I guess one million produced you have got 2.5 left on the production ceiling for the year how should we treat sort of production for the remaining three quarters on a throughput write basis any particular period there where you would waited down time and particularly on the cessation of open pit mining that maybe an extension from Jeff's question earlier any variability in the stockpile that you have there where you would pick any grade material within that point 5, 4 grade material for H2 that we could lean on in our projections?
Mick Wilkes: First of all, the stockpile is harder so you won't be getting one million ton this quarter through the process but in second half of the year. I would suggest that you model for average growth from that stockpiling in the second half of the year. It is possible to choose some high grade sections but I don't think we should get into that level of detail that way that the stockpile to deduct. The throughput rate is limited by the permit that we have, so we have an application with the government to increase that throughput to over 4 million tons a year. But at this stage we are still planning – we are still modeling to track with through 2.5 million tons but we are still expecting to get that approval for the increase in the second half of this year so but for the time being we rely on 3.5 and the throughput rate on that stockpile feed base is 700,000 tons a quarter be the best.
Geordie Mark: Thank you. If I may just to follow-up underground development part. What level is I guess your decline advance now and development you need I guess by the end of the year to get that first or to the plan?
Mick Wilkes: It will be at the bottom of the upper levels where the third pump station will go in probably by the end of the second quarter and then once the pump station is established we will able to start cross selling into the old body to start production which is still planning to start at the end of this year. It could happen a bit soon but we are not, we basically it's on track.
Geordie Mark: Thank and one final question on Haile. Perhaps we look at the closed commercial production anticipated gold recoveries what gold recovery would you look to stabilize that by the end of the year I guess that 3 million ton per annum metric rate and what average recovery would you – are you projecting for year in commercial production and I will leave it there. Thanks.
Mick Wilkes: I don't know what the average is for the year but I think 75% to 80% recovery for the full year and [indiscernible] recovery 84% beyond that.
Geordie Mark: Thank you very much and thanks for your time.
Operator: Thank you. Your next question comes from [indiscernible], please go ahead.
Unidentified Analyst: Good morning Mick. Trying to work out if the, what is the total El Salvador exposure including the $18 million impairment write off and including the $8 million cost of order to the government and where the total can be expected to be recovered from future sale of the business attainments and property etc?
Mick Wilkes: Thanks for that question Russell. We’ve spent the $8 million payment last year its part of the full year result. So that was done in the fourth quarter and 79.7 is what was on the books for the purchase of the assets which was done predominately in chance with some cash a number of years ago. In terms of future sale obviously we still have the land there, we still have it all there, we still have all the calls I would hope that at some point that the government of other would want to develop the project. So we remain interest in that option.
Unidentified Analyst: Thanks for that. Well look forward to hearing what the strategy is going to be there. Philippines congratulations on your three awards. That's always terrific and not easy to achieve. I am just wondering how are you dealing with the individual clients to save damages given that all your excellent work for the majority doesn't seem to negate the individual clients and compensate and that often annoys if you get the attention of government?
Mick Wilkes: Well we have a grievance process on site to deal with individual clients and that's the case with any mine site. The clients you are referring to I am not I don't really I am not really clear about that that I assume that what you are referring to ones that have that the government has identified namely apparently damage to a house to blasting. But that -- not caused by the mine and it was due to faulty construction which is not uncommon in places, in lot of places. So we didn't have to pay compensation for that particular incident and that is another example of untrue to misinformation which is being spread by other parties who have vested interest in the operation. So I think we just need to continue to be open and transparent about the operation and stable, coming to site can see how good it is and the awards that we are getting continue to demonstrate the quality. I should add that latest CSR award that we received the global CSR summit was not just for mining but for other sectors as well so communications construction industry and other sectors. So to receive the best workplace award against those other sectors and this is at least is quite a good thing, quite a significant thing. And the other thing is being recognized by the NGB as being put up for the ISM mineral awards has been the representative from the Philippines is also a great significant and I think it further demonstrates that what's happening in the Philippines is not the negative stuff that's happening in Philippines is not the government acting in years and it is an individual and supporters acting unilaterally and feel that this issue is resolved, but I think we are still going to see some noise coming in at the Philippines and unfortunately it's a negative news which is not necessarily factual.
Unidentified Analyst: Yes. Congratulations to you Mick, once again you have lead Waihi and you have held up as one of the world best mining companies from safety it is now that OceanaGold always puts safety matter first and foremost and this has been pointed out to other companies in Australia that recently have experienced seismic disruption and have commented on safety matters last of all so you are shining lights to many other and frequently help up as that. My third and I apology if I missed this but just wondering about total heating exposure.
Mark Chamberlain: They are unrealized losses that you saw in the P&L this time we have to mark to market the hedging, outstanding hedging the only hedging we have let towards that was done for Macraes which finalizes at the end of, comes to the end of this year and that was done at the time when we were concerned that operation couldn't – we didn't want to bleed against the game we are seeing at the Didipio so that hedging finishes at the end of this year. The other hedging we have is we did on oil and process that $30 last quarter what we had mark to market gains the oil price went up this time the oil prices got down a little bit and they have always have to ride it back but overall our hedge is in the money on the oil side. That also concludes the end of this year at the end of 2017. 
Unidentified Analyst: That's all of my questions. Thank you.
Operator: Thank you. There is no further questions at this time. Please proceed.